Operator: Has any objections, you may disconnect at this time. I would now like to introduce today's conference host, Mr. Craig Lampo. Sir, you may begin.
Craig Lampo: Great. Thank you so much. Afternoon, everyone. This is Craig Lampo, Amphenol's CFO, and I'm here together with Adam Norwitt, our CEO. I would like to wish everyone a Happy New Year and welcome you to our 2025 conference call. Our fourth quarter 2025 results were released this morning. I'll provide some financial commentary, and then Adam will give an overview of the business and current market trends. Then we will take your questions. As a reminder, during the call, we may refer to certain non-GAAP financial measures and make certain forward-looking statements. Please refer to the relevant disclosures in our press release for further information. The company closed 2025 with record sales of $6.4 billion and GAAP and adjusted diluted EPS of $0.97 and $0.93, respectively. 48% local currencies, The fourth quarter sales were up 49% in US dollars, and 37% organically compared to 2024. Sequentially, sales were up 4% in US dollars and in local currencies, and up 3% organically. Adam will comment further on trends by market in a few minutes. For the full year 2025, sales were approximately $23.1 billion, up 52% in US dollars, 51% in local currencies, and 38% organically compared to 2024. We are very encouraged by our orders in the quarter, which were a record $8.4 billion, up a strong 68% compared to 2024 and up 38% sequentially, resulting in a very strong book-to-bill ratio of 1.31 to one. This impressive book-to-bill in the quarter was primarily driven by robust bookings in the IT datacom market related to AI applications. We have seen customers open their order window a bit in certain cases, which helped to drive these strong bookings. For the full year, orders were $25.4 billion, up 51% compared to 2024, resulting in a book-to-bill ratio of 1.1 to one. GAAP operating income was $1.7 billion in the quarter, and GAAP operating margin was 26.8%. GAAP operating margin included $47 million of acquisition-related costs, primarily for external transaction costs and the amortization of acquired backlog. Excluding acquisition-related costs, adjusted operating margin and adjusted operating income was 27.5% and $1.8 billion, respectively. On an adjusted basis, operating margin increased by a strong 510 basis points from the prior year quarter and was flat sequentially. The year-over-year increase in adjusted operating margin was primarily driven by robust operating leverage on the significantly higher sales volumes, which was only modestly offset by the dilutive impact of acquisitions. For the full year 2025, GAAP operating income was $5.9 billion and included $181 million of acquisition-related costs. Excluding these costs, adjusted operating income was $6.1 billion in 2025. For the full year, GAAP operating margin and adjusted operating margin reached annual records of 25.4% and 26.2%, respectively. On an adjusted basis, operating margin increased 450 points compared to 2024, primarily driven by strong operational performance on the significantly higher sales volumes, which again was only modestly offset by the dilutive impact of acquisitions. I'm extremely proud of the company's operating margin performance in the fourth quarter and for the full year 2025, both of which reflect continued strong execution by the team. Breaking down fourth quarter results by segment. Compared to 2024, Sales and Communication Solutions segment were $3.4 billion and increased by 78% in US dollars and 60% organically. Segment operating margin was 32.5%. Sales in a Harsh Environment Solutions segment were $1.7 billion and increased by 31% in US dollars and 21% organically. And segment operating margin was 27.6%. Sales in Interconnect and Sensor Systems segment were $1.4 billion, increased by 21% in US dollars and 16% organically. And segment operating margin was 20.1%. Bringing down full year results by segment compared to 2024, sales in the Communication Solutions segment were $12.1 billion, an increase by 91% in US dollars and 71% organically. And segment operating margin was 31.1%. Sales in the Harsh Environment Solutions segment were $5.9 billion, increased by 33% in US dollars and 17% organically. And segment operating margin was 26.2%. And sales in the Interconnect and Sensor Systems segment were $5.2 billion and increased by 15% US dollars and 13% organic. The segment operating margin was 19.5%. For the fourth quarter, the company's GAAP effective tax rate was 26.9%, which compared to 17.4% in the '4. And full year 'twenty five GAAP effective tax rate was 23.1%, which compared to 18.9% at 2024. On an adjusted basis, the effective tax rate of 25.5% both for the fourth quarter and full year, which compared to 24% in the prior year periods. As we discussed last quarter, the increase in our adjusted effective tax rate in '25 was due to some shift in income mix to higher tax jurisdictions. For modeling purposes, you should assume that this higher tax rate of 25 and a half percent continues into 2026. As our typical practice, our adjusted our adjusted tax rate percent compared to the 55¢ in the 2024. This was an outstanding result. For the full year, GAAP and adjusted diluted EPS were both a record 3034¢, an increase of 7477%, respectively. Operating cash flow in the fourth quarter was $1.7 billion or 144% of net income. And free cash flow was $1.5 billion or 123% of income. And for the full year of 2025, operating cash flow was a record $5.4 billion, 126% of net income, and free cash flow was a record $4.4 billion or a 103% of net income. Considering the high growth rates we experienced this year, this is a very strong result. From a working capital standpoint, inventory days, days sales outstanding, and payable days are all within our normal range. During the quarter, the company repurchased 1.3 million shares of common stock at an average price of approximately $134. When combined with our normal quarterly dividend, total capital return to shareholders in 2025 was approximately $373 million and was nearly $1.5 billion for the full year of 2025. Total debt at December 31 was $15.5 billion, and net debt was $4.1 billion, which included $7.5 billion from the US Bond offering we completed in October and in anticipation of the closing of the CCS acquisition. Total liquidity at the end of the fourth quarter was $17.5 billion, which included cash and short-term investments on hand of $11.4 billion plus availability under our existing credit facilities. And $3.1 billion of term loan facilities put in place in anticipation of the CCS acquisition. In early January, the company closed the CCS acquisition, which was funded with cash on hand primarily resulting from the October 2025 bond deal as well as the $3.1 billion of term loan facilities. As a result of the acquisition of CCS, we expect 2026 quarterly interest expense, net of interest income from cash on hand, to be approximately $200 million, which is reflected in our first quarter 2026 guidance. Adjusting for the impact of the CCS acquisition, our net debt at year-end would have been $14.7 billion, and our liquidity would have been $6.9 billion, which includes pro forma cash and short-term investments on hand of $3.9 billion. Fourth quarter 2025 EBITDA was $2 billion, and our net leverage ratio was 0.6 times at the end of the quarter. Pro forma net leverage at the 2025, including the CCS acquisition, would have been approximately 1.8 times. As of December 31, the company had no outstanding borrowings under its revolving credit facility or its commercial paper programs. I will now turn the call over to Adam, who will provide some commentary on current market trends. Well, thank you very much, Craig, and I also would like to offer my best New Year's wishes to all of you here. Craig and I are here in the winter wonderland of Wallingford, Connecticut, and it's a real pleasure to talk to you about our fourth quarter and full year achievements. I'll highlight some of those achievements, and then as Craig mentioned, I'm going to discuss the trends across our served markets. We'll make some comments on the outlook for the first quarter, and then, of course, we'll have time for questions. Turning to the fourth quarter, there's no doubt that Amphenol had a strong finish to a very successful 2025. With sales and adjusted diluted earnings per share in the fourth quarter both exceeding the high end of our guidance. Sales grew by 49% in US dollars and 48% in local currencies, reaching a new record of $6.439 billion. And on an organic basis, our sales increased by 37%, with robust growth across nearly all of our served markets. As Craig mentioned, we booked a record $8.4 billion of orders in the fourth quarter, which represented a very strong book-to-bill of $1.31 to one. These orders grew by 68% from the prior year and were up 38% sequentially. And while orders were strong across the board, there's no doubt that these robust orders were driven primarily by data center demand related in particular to artificial intelligence investments being planned by a number of our large customers. We're also pleased in the quarter to have delivered adjusted operating margins of 27.5% in the quarter, which matched our record-setting margins in the third quarter and which represented an increase of 510 basis points from the prior year. This superior profitability is a direct result of the outstanding execution of the Amphenol team around the world. Our adjusted diluted EPS in the quarter grew by 76% from the prior year, reaching a new record of 97¢. Finally, the company generated record operating and free cash flow in the fourth quarter, $1.7 billion and $1.5 billion, respectively. Both clear reflections of the quality of the company's earnings. I just can't express enough my pride in our team here in the fourth quarter. These results once again reaffirm the value of the discipline and agility of our entrepreneurial organization. As we continue to perform well amidst a very dynamic environment. We're also very excited in the quarter that we closed on the previously announced acquisition of Trexon. With operations in the US and Europe and with annual sales of $290 million, Trexon's a leading provider of high-reliability interconnect and cable assemblies primarily for the defense market. We're particularly excited that Trexon further expands our value-add interconnect offering for the defense market. Enabling us to offer our customers in this important area a complete solution of high-technology interconnect products, really the broadest in the industry. We look forward to the Trexon team flourishing as part of the Amphenol family. In addition, just here in January, we're excited to have closed on the acquisition of the CCS business from CommScope a bit earlier than we had anticipated. This business, which will be known going forward as CommScope, an Amphenol company, represents a significant expansion of our interconnect capabilities across three of our important end markets. As we discussed last year, CommScope had significant fiber optic interconnect capabilities, for the IT datacom and communications networks markets as well as a diverse range of industrial interconnect products for the building connectivity market, which will be included in our industrial segment. We look forward to working closely with the CommScope team as they embrace the Amphenol uprooting culture. And are really excited about the potential that this significant acquisition can bring to our company. As previously disclosed, we expect CommScope to generate full year 2020 sales of $4.1 billion and to add 15¢ to Amphenol 2026 adjusted earnings per share. As we welcome the outstanding CommScope and Trexxon teams to the Amphenol family, we remain confident that our acquisition program will continue to create great value for the company. Our ability to identify and execute upon acquisitions and then to successfully bring these companies into Amphenol remains a core competitive advantage. And there's no doubt that as our organization has evolved and scaled, so too has our ability to effectively manage a greater number of acquisitions of all sizes. Now turning to the full year 2025, 2025 was a uniquely successful year for Amphenol. We expanded our position in the overall market. Growing our sales by 52% in US dollars, 51% in local currency, and 38% organically, reaching a new sales record of $23 billion or $23.1 billion. As we cross $23 billion in sales in 2025, we're very proud to have more than doubled Amphenol's revenues in the past four years. A great reflection of our organization's ability to navigate market dynamics while capitalizing on the broad array of opportunities arising across the electronics industry. Our full year 2025 adjusted operating margin reached a record 26.2%, and that was a robust increase of 450 basis points from the prior year. And this strong level of profitability enabled us to achieve record adjusted diluted EPS of $3.34, an increase of 77% from the 2024 levels. As Craig mentioned, we generated record operating cash flow of $5.4 billion and free cash flow of $4.4 billion. Clear confirmations of the company's superior execution and disciplined balance sheet management. Very proud that our acquisition program again created great value this year. We completed five acquisitions in 2025. Including Andrew, our largest acquisition at the time, together with the acquisitions of Trexon, Nardemitek, LifeSync, and Rochester Sensors. Collectively, these acquisitions have added to Amphenol annualized sales of nearly $2 billion. In addition, as I just mentioned and as we announced earlier this month, we also closed on our largest ever acquisition now, which is the CommScope acquisition. What is in common across all these acquisitions? Is that they enhance our position across a broad array of end markets, and deep enabling technologies. All while bringing outstanding and talented individuals into the Amphenol family. We also returned substantial cash to shareholders in 2025, buying back nearly 7.5 million shares under our share repurchase program and increasing our quarterly dividend by 52%. This represented a total return of capital to shareholders of nearly $1.5 billion. As we enter 2026, remain excited about the opportunities ahead of us for Amphenol. Our agile entrepreneurial organization has created a new position of strength for the company. From which we can continue to drive superior long-term performance. Now turning to our served markets. Once again, I'm very pleased that the company's end market exposure remains diversified, balanced, and broad. And there's no doubt that presence that we have across all these end markets creates great value for the company. As we're allowed to participate across all areas of the global electronics industry, wherever there may be new revolutions arising, all while not being disproportionately exposed to the of any given application or market. Turning first to the defense market. That market represented 10% of our sales in the fourth quarter and 9% of our sales for the full year 2025. Sales in the fourth quarter grew strongly from the prior year. Increasing by 44% in US dollars and 43% in local currencies. On an organic basis, sales increased by 29% with broad-based growth across virtually all defense applications. Including in particular radar, space, communications, avionics, and unmanned aerial vehicles. Sequentially, sales increased by 16% well ahead of our expectations for mid-single-digit growth. For the full year 2025, our sales grew by 30% in US dollars in local currency, and by 21% organically. Reflecting our superior operational execution as well as growth across all segments of the defense market. In addition, we're very pleased that our growth in '25 was really broad-based geographically. Reflecting our leading position across the many countries for increasing their defense spending. Looking ahead, we expect sales in the first quarter to increase slightly largely driven by the benefit of the Trexon acquisition. And we remain encouraged by the company's leading position in the defense interconnect market. Where we continue to offer the industry's widest range of high-technology products. Amidst the current dynamic geopolitical environment, countries around the world are further expanding their investment into both current and next-generation defense technologies. With our existing offerings, as well as the exciting and complementary capabilities from Trexon, we are positioned better than ever to capitalize on this long-term demand trend. The commercial air market represented 5% of our sales in the quarter and for the full year 2025. In the fourth quarter, our sales grew by 21% in US dollars, and 20% in local currencies. On an organic basis, sales increased by 19% from the prior year driven by broad-based strength with virtually all commercial aircraft manufacturers. Sequentially, our sales grew by 10% from the third quarter well above our expectations coming in ninety days ago. For the full year 2025, sales in the commercial air market increased by 39% in US dollars and 38% in local currency. As we benefited from accelerating demand across aircraft platforms as well as from acquisitions. Organically, our sales increased by 13% from the prior year, reflecting our robust design in positions on a broad array of jetliners. Looking into the first quarter, we expect sales to moderate seasonally by approximately 10% on a sequential basis. I'm truly proud of our team working in the commercial air market. With the ongoing growth and demand for aircraft, our efforts to expand our product offering both organically and through our successful acquisition program continued to pay real dividends. In particular, I just want to note that we're very pleased. With the progress of the CIT team who have truly embraced being part of Amphenol and have driven outstanding results. We look forward to further capitalizing on our expanded range of product solutions for the commercial air market. Long into the future. The industrial market represented 18% of our sales in the quarter and 19% of our sales for the full year 2025. Our sales grew by 20% in US dollars and 18% in local currencies from the prior year. And on an organic basis, we were pleased that sales grew by 10%, driven by relatively broad-based growth across the industrial end markets. In particular medical, alternative energy, e-mobility, heavy equipment, industrial instrumentation applications. We also grew again in all of our major geographic regions. On a sequential basis, sales grew by 2%, better than our expectations. For the full year 2025, sales grew by 21% in US dollars and 20% in local currency. As we benefited from relatively broad-based growth as well as from acquisitions. Organically, sales grew by a strong 10%, from the prior year. Looking into the first quarter, we expect our sales to increase approximately 20% from these fourth quarter levels driven by the addition of CommScope's building connectivity business. We remain encouraged by the company's strength across the many diversified segments of this important market. Over the long term, I'm confident in our strategy to expand our high-technology interconnect antenna and sensor offering both organically and through complementary acquisitions. This strategy has enabled Amphenol to capitalize on the many revolutions that continue to occur across the diversified industrial market. And thereby create further opportunities for the outstanding team working in this important market. The automotive market represented 14% of our sales in the fourth quarter and 15% of our sales for the full year. Sales in the fourth quarter grew by 12% in US dollars and 9% in local currencies and organic. And that was driven by relatively broad-based growth across automotive applications. In addition, we are pleased that once again, we realized growth in all three regions. Sequentially, our automotive sales were flat, but this was better than our expectations coming into the quarter. For the full year 2025, our sales increased by 8% in US dollars and 7% in local currency and organic. With growth in all three regions. As we look into the first quarter, we do expect a seasonal moderation in sales from this quarter's levels of approximately 10%. I remain very proud of our team working in the important automotive market. And while there are always areas of uncertainty in the global automotive market, our organization continues to be focused on driving new design wins with customers. Who are implementing a wide array of new technologies into their vehicles. We look forward to benefiting from our strengthened position in the automotive market for many years to come. Communications networks market represented 9% of our sales in the fourth quarter and 10% of our sales for the full year 2025. Sales in this market grew from the prior year by 120% in US dollars and 119% in local currency, as we benefited from the Andrew acquisition completed earlier last year. Organically, our sales were flat from the prior year. On a sequential basis, sales declined as expected by 13% from the third quarter. And for the full year 2025, our sales to communications networks increased by 134% in US dollars in local currency and by 13% organically as we benefited from the addition of Andrew as well as growth in our products sold into the mobile network operators and wireless equipment manufacturers. As we look towards the first quarter, we do expect a significant nearly 50% increase in sales as we benefit from the addition of the CommScope business which more than offsets the typical seasonal sales declines that we would see here. With our expanded range of technology offerings, following the acquisitions of both CommScope and Andrew, We are well positioned with service provider and OEM customers across the global communications networks market. Our deep and broad range of products, coupled with an expansive manufacturing footprint, have positioned us to support these customers wherever they may be. And as customers in this market continue to drive their systems and networks to higher levels of performance, We look forward to enabling them for many years to come. The mobile devices market represented 6% of our sales in the quarter and also for the full year, and in the fourth quarter, our sales moderated by 4% in US dollar local currency local currency and organic, as growth in tablets, wearables, and accessories was more than by some moderation in sales related to smartphones. On a sequential basis, our sales increased by 6% which was a bit better than our expectations coming into the quarter. And for the full year 2025, sales in the mobile devices increased by 5% in US dollar and organic, and that was really driven by growth across virtually all mobile device applications. As is typical in the first quarter, we do anticipate a seasonal decline of some magnitude roughly in the 30% range as we look into the first quarter. But, nevertheless, I'm very proud of our team working in the always dynamic mobile device market. As their agility and reactivity have once again enabled us to capture incremental sales in the quarter. I'm confident that with our leading array of antennas, interconnect product, and mechanisms, designed in across a broad range of next-generation mobile devices. We're well positioned for the long term. Finally, the IT datacom market represented 38% of our sales in the fourth quarter and 36% of our sales for the full year. Sales in the fourth quarter grew by a very strong 110% in US dollar and organic driven by continued strong demand for our products used in AI applications together with ongoing growth in our base IT datacom business. On a sequential basis, our sales increased by 8% from the third quarter which was substantially better than our expectations ninety days ago. This sequential increase was essentially driven by growth in AI-related applications. For the full year 2025, our sales in the IT datacom market grew by a very strong 124% in US dollars and organic. As we benefited from strong demand for AI-related applications as well as accelerated growth in our non-AI IT data business. As we look ahead, we expect a low double-digit sequential sales increase in the first quarter driven by the addition of CommScope. And on an organic basis, we're very pleased to anticipate that we will remain at these very levels in the fourth quarter. We are more encouraged than ever by the company's position in the global IT datacom market. I just can't emphasize enough what an outstanding job our team has done, not only in securing future business, on these next-generation IT systems, with a really broad array of customers, but in executing upon that demand here in 2025. It's no doubt that the revolution in AI continues to create a unique opportunity for Amphenol. Given our leading high-speed and power interconnect products. With now the addition of CommScope, we have the broadest range of high-speed power and fiber optic interconnect products all of which are critical components in these next-generation systems. This creates a continued long-term growth opportunity for Amphenol. Turning to our outlook and of course, assuming the continuation of current market conditions as well as constant exchange rates, For the first quarter, we expect sales in the range of $6.9 billion to $7 billion and adjusted diluted EPS in the range of $0.91 to $0.93. This would represent significant sales growth from the prior year of 43% to 45% and adjusted diluted EPS growth of 44% to 48%. I would note that our Q1 guidance includes $900 million in sales and $0.02 of adjusted EPS accretion from the CommScope acquisition. I remain confident in the ability of our outstanding management team to adapt to the many opportunities and challenges present in the current environment. While continuing to grow Amphenol's market position all while driving sustainable and strong profitability over the long term. Finally, I'd like to take this opportunity to first thank our customers for the trust that they put in us and also to thank the entire global team of Amphenolians for their truly outstanding efforts here in the fourth quarter and in the full year 2025. And with that, operator, we'd be happy to take any questions.
Operator: Thank you, Mr. Norwitt. Question and answer period will now begin. Please limit to one question per caller. To ask a question, please press star followed by one on your telephone keypad now. If you change your mind, please press star followed by two. When preparing to ask your question, please ensure your device is unmuted locally. We have a question from William Stein from Truist Securities. Please go ahead.
William Stein: Great. Thanks for taking my question. Congrats on the very strong results and outlook. First, I'd like to ask about the bookings, which was very strong. I think you highlighted a 1.31 book-to-bill. Adam, that I imagine, must have in it some extended duration orders in the backlog. And I wonder whether that's entirely concentrated or mostly concentrated in IT datacom. And also, if you can talk about what gives rise to that level of orders? Is it based on sort of a need for them to place this in order to get in line, from a sort of a lead time perspective? Or is this based, perhaps on sort of minimum order requirement in order to meet CapEx requirements that you have? Any color on that would be really helpful. Thank you.
Adam Norwitt: Well, thank you very much, Will. Look. No doubt. We were very encouraged by the bookings as we came out of the year in 2025, and you know, I'll say a couple of things. I mentioned earlier that, in fact, our bookings were really broadly strong across all of our end markets with maybe I think, only one exception our book-to-bill was at or above one. And then in a few cases, significantly above one. And there was certainly the IT datacom market specifically related to AI investment was a primary driver of this 1.31 book-to-bill and record orders, you know, for the company. To achieve orders of more than $8 billion in the quarter was certainly a milestone for all of us. Look. I think that as I mentioned, and I think Craig alluded to, that we have seen customers open up their order window for in particular related to significant plans that they have of investments related to AI. This is not because of kind of getting in line so to speak. I mean, I think our team's done a fabulous job of ramping up, I mean, as evidenced by the extraordinary growth that we achieved last year, a 120% year-over-year growth. For the full year in IT datacom, there's no doubt that our team has done an amazing job of ramping up to our customers' needs. But at the same time, and we've talked about this in the past, you know, because of the technology involved in a lot of these next-generation products, really pushing the limits of these systems and pushing the limits of the products. You know, these products do require, in certain cases, more automation, which fortunately, we do the vast majority of that in-house, which has been an amazing competitive advantage for Amphenol through this time period. And so we've worked with customers because of these, you know, sometimes outsized investment requirements, and they're outsized plans that they provide to us, to somehow share the risk of those investments and we do that in a variety of ways. Those ways can include customers actually sharing some of the spending, contributing to the spending, and, otherwise, you know, giving us commitments that are solid commitments that give us the comfort to make those investments and drive the ramp-ups that ultimately meet those customers' demands. And so I think it's more not and you use the word minimum order. I wouldn't call it minimum order. But rather it's giving us the comfort through their own commitments to Amphenol that we should then make the commitments in capital and using Amphenol's hard-earned cash and the time of our team, to make those investments. And I think it's a great sign. It's a sign, number one, of our customers' intention and their plans, which are very robust. It's a sign number two of our customer's commitment and confidence. In the Amphenol organization. And so no doubt about it. I think it's a positive. And, you know, we look forward to continuing to drive great success in that market in the future. Thank you. Our next question comes from Amit Daryanani from Evercore ISI.
Amit Daryanani: Please go ahead.
Adam Norwitt: Yep. Thanks a lot. Good afternoon, everyone. Thanks for taking my question. Adam, post the CCS deal, can you just talk about the breadth of your offerings when it comes to serving these AI infrastructure customers? You folks have done really well on a stand-alone basis, but know, there's this view, I think, out there that Amphenol is driven more by And as we move more to optics and fiber, there's a risk here. So maybe hoping you can spend some time to help us appreciate the range of offerings you're gonna have post-CCS. And how do you see these offerings that you get from CCS really being complementary to what Amphenol has today? Thank you.
Adam Norwitt: Yeah. That's it. Well, thank you very much, Amit. Look. There's no doubt about it that we have worked for a long time, and it's kind of ironic. Know, we just celebrated the twentieth anniversary of another foundational acquisition for Amphenol, which was the acquisition of the Chariton Connection Systems business twenty years ago which really catapulted Amphenol into a leadership position in high-speed copper interconnect products. I will tell you that at that time, you know, high-speed meant five gigabits. Maybe 10 on the outside. And over those twenty years, we've continued to double down on the excellent capabilities that TCS brought us the people most of whom are still with our team today, you know, there to celebrate that same twentieth anniversary. And that has put us in a real leadership position as our customers drive their systems to higher and higher speed. Now we have always been a player in fiber optics. I mean, going all the way back to, you know, the early foundations of what a fiber optic connector was you know, half a century ago or more. But there's no question that with CCS, just like at the time with CCS twenty years ago, CCS vaults us into a position of breadth and depth in the technology around fiber optic interconnect that is a real expansion. Of our capabilities. And so when we go to customers data center applications or when we go to communications networks, customers and talk about their next-generation network planning, We can now have that conversation across the entirety of the Internet of the interconnect spectrum. As they think about the various trade-offs that a customer goes through every time they think about their specific system architecture, You know, do they want to use a high-speed copper interconnect here? What's the power situation? How do they bring power? Into their system, into the rack, into a data center? Into a network? And then how did they use fiber optics, you know, which have, of course, fabulous traits in particular around high bandwidth, long-distance communications. And customers are making these trade-offs every day, And now with the CCS acquisition, what I'm so excited about is the unique position it puts Amphenol in as a company to be able to go in and talk to that entire spectrum. Of interconnect. Our customers just want to get a signal from a place to a place. And it's up to us to work with them to figure out the best way to do that. Whether they're getting a signal from a GPU to a GPU or from a central office home somewhere or anything in between. And I think now we were able to come to them with a total solution of leading interconnect products that ultimately allow us to have a seat at the table as a partner with those customers for many, many years and many generations to come. Thank you.
Operator: Our next question comes from Luke Junk from Baird. Please go ahead.
Luke Junk: Adam, maybe to bridge on the comments you just made, I'd just wondering if you could maybe speak to integration first steps at CommScope. And, you know, like you mentioned, the deal got closed a little sooner than you had expected. Just how important is that in terms of bringing this new fuller, broader portfolio to bear in data center, especially given how quickly this market's moving right now? Thank you.
Adam Norwitt: Well, thanks very much, Luke. I'll answer the second question. I mean, know, you get one of these deals done. You gotta get a lot of approvals in a lot of different places. And I think our team did a great job of working with the various authorities to get those approvals a bit faster. And I'm really grateful also to the folks who sold us this company, and, you know, they've renamed their company now, and I wish them all the best. It was really a great experience, I think, for all sides, and we work really well together. To bring this deal to fruition quite a bit faster than, you know, we thought it was gonna be at the time that we originally announced the deal. I would say so the speed I don't think the fact that we closed it early in the quarter versus end of the quarter, that doesn't change our position in the marketplace. Obviously, as soon as we announce the deal, you can imagine that our customers around the world wanted to talk to us about what that meant for the long term. And so we've been having those conversations for quite some time already. In terms of the integration, I mean, you know, that word integration is not a word in the Amphenol lexicon. You know, there are two words we don't use, integration and synergy. And but what we do talk about is letting them evolve into the Amphenol family letting them be who they were because it's a fabulous organization. I mean, the leadership of the company is still the same leadership. The people are still the same people. We're not parachuting people in. We're not merging and morphing things into one or another, synergizing and restructuring. We're actually working with the team on day one to say what are the opportunities that now that you're part of Amphenol, you could hope to achieve that you maybe couldn't have done part of your former company. I was so happy, you know, on the first day of the acquisition that right after we announced it, I went really one of the nerve centers of the company. As you know, you know, the CommScope, we've talked about this. In many ways, it is a collection of extraordinary iconic businesses in its own right. The CommScope business that was founded nearly fifty years ago by Frank Drendel as a supplier into the broadband networks market. The Systemax business, which is an amazing iconic business selling into building connectivity. And the ADC Communications, which was a long legacy leader in fiber optic interconnect. And so I was really happy to go to Shakopee, Minnesota, which is really the nerve center of the fiber optic capability of this company. And meet with these engineers and the product managers and the folks leading that business. And I can tell you they're so excited to be part of Amphenol. And we broadcast a welcome around the world. And the just a kind of a almost a universal excitement to be part of this company called Amphenol, to become Amphenolians as they all now know that word. And so you know, the first steps is, you know, meet the people, get excited, find opportunities to go accelerate the business, and that's all well underway today.
Luke Junk: Thank you.
Operator: Our next question comes from Wamsi Mohan from Bank of America. Please go ahead.
Wamsi Mohan: Yes. Thank you so much. Adam, I was hoping you could maybe parse the January IT datacom guide of flattish organically excluding CCS. Should within that, should we be expecting the traditional sort of you know, enterprise-centric market, double-digit and the AI workloads to grow. Is that the right way to think about it? And within the AI context, is that more programs for you, more units in existing programs? Any color you can share around, so what you're hearing from your larger AI customers in terms of just trajectory given especially your comments about very strong orders?
Adam Norwitt: Yeah. Thanks very much, Wamsi. Look. I mean, it's hard for me to give too much of a parse of what that flat organic means. I mean, you're correct. Traditionally, the base IT datacom cycle would be down in the first quarter. So I think probably there's some of that here as well. But look, in terms of our ongoing growth in AI, I mean, I want to emphasize one thing, which is just the breadth of that business. You know, we have an enormous position with a lot of different customers up and down the stack of AI, you know, from the folks who are making the investments the big web scale folks, and otherwise, including, like, you know, the cloud, the Neo cloud, whatever you guys all call these folks. The equipment manufacturers, all the way down to, of course, significant companies who are designing the chips and the architecture around those chips. I mean, I will say that, you know, as we come out of 2025, that breadth is reflected in the fact that we didn't have any 10% customers in 2025. You know, we have significant customers, but we have also a lot of breadth around that business. And so as our customers think about the forward potential, of AI I mean, I think there's a few factors. Number one is their investment plans are all going up. There's no doubt that there continues to be a very robust plan of continuing to drive accelerated computing at a very strong level. And there's upgrades of the technology embedded in those data centers which requires a higher technology, more complex, higher content degree of interconnect. We're also very excited that not only are we participating, you know, as we have traditionally bringing the power in, power to the racks and the like, the data communication within racks, within adjacent racks, but also now with CommScope participating in the broader fiber optic opportunity, associated with those data centers. And, you know, there's no doubt that that also creates a strong opportunity for the company going forward.
Wamsi Mohan: Thank you.
Operator: Our next question comes from Samik Chatterjee from JPMorgan. Please go ahead.
Samik Chatterjee: Oh, hi. Thanks for taking my question, and Happy New Year. Adam, I'm wondering when you mentioned the sort of opening up their order books a bit when it pertains to your IT datacom business. Are you seeing anything similar for the CC business the reason I ask is we saw what what are the competitors in the space currently announced agreement with Meta Securing Supply. So are you seeing hyperscalers customers on that front come to you to sort of engage in those discussions to secure supply and what that what that would mean for your investment proof, sort of support for this business. Thank you.
Adam Norwitt: Yeah. Well, thank you very much, Samik. Yeah. Look. No doubt. We had very strong orders, and I would tell you that the CommScope business, as we call it now, we're not calling it anymore CCS, It has also had very strong orders. And for sure, I mean, there have been plenty of announcements and, you know, by really wonderful companies out there, and, you know, we're really proud to be considered in the same breath as some of these amazing companies that have also been in the public eye late. And there's no doubt that the CCS is participating. I mean, we've talked about the fact that their exposure into the data center, their strong growth that they've seen in that area. You know, I would also just point out, you know, at the time we acquired we announced the acquisition then of CCS, we talked about acquiring a company of roughly $3.6 billion in sales at a 26% EBITDA margin, and that, you know, implied a of just over 11 times that we paid for it. By the time we closed, we're now talking about a business of more than $4 billion in annualized sales. That is a great momentum, strong orders, positive book-to-bill, and all of that. And, obviously, implies as well that, you know, on a at least on a current year basis here in 2026, we're we the this is a great deal for Amphenol and really the high single digits in terms of an EBITDA multiple. So I think it's a great company with a great prospects and, yes, does see those those same trends. In terms of investments, I mean, look. I we don't see any, you know, significant abnormal kind of things vis a vis investments with CTS. But I will say this, and that's something we've talked about in the past. It's a different thing for CCS to be a part of a company that, you know, for very obvious reasons was somewhat balance sheet constrained. And now they're part of Amphenol where we're more than willing to help them stimulate the virtuous cycle that so many of our companies are on by making prudent investments that allow great returns and allow them to capitalize upon the opportunities in the marketplace. And so it's not that we're just going to give them all blank checks here. But you can imagine that it's a different environment for CCS in terms of their ability to grow into the upper opportunities as part of Amphenol than maybe it would have been in the past.
Samik Chatterjee: Thank you.
Operator: Our next question comes from the line of Andrew Buscaglia from BNP Paribas. Please go ahead.
Andrew Buscaglia: Hey. Good morning, everyone.
Adam Norwitt: Good morning.
Andrew Buscaglia: Or good afternoon.
Adam Norwitt: How are you? Good aft
Andrew Buscaglia: Yeah. Maybe shifting away from the AI and IT datacom story per minute. I think another underlying trend this quarter or a positive thing we're seeing is the momentum in, you know, a lot of other areas in your in your markets are pretty beat up. And I'm thinking, like, industrial, automotive, mobile devices, specifically. Just seem to start the markets seem to be turning a corner. Where are you say that's most pronounced? Maybe what surprised you in the quarter, if anything? Where do you see some of these sort of battered end markets going in 2026?
Adam Norwitt: Yeah. Well, thanks very much, Andrew. I mean, there's no doubt. I mean, we saw really broad-based strength as we through the year and as we finish the year. And I mentioned in my prepared remarks that we're especially encouraged in if you take automotive and industrial as two pretty broad global markets, that we saw growth organically in both of those markets across all of the territories that they operate in. And I would highlight there, in particular, Europe. I mean, you know, the world has been so down on Europe for so long. And I think we've started to see in our company, especially in the second half of the year, that our teams in Europe who have held their heads high through this whole kind of malaise, if you will, have continued to pursue opportunities to gain market share, to enable our customers who are doing really amazing things you know, driving now, you know, robust organic growth in Europe in automotive and in industrial for the full year. And I would even say that in the fourth quarter, amazingly, our strongest organic growth in automotive was in Europe. So, you know, that's definitely a different thing than we've been talking about and that the world's been talking about for some time. And I think we're excited about our continued position there. And mobile devices, you know, it's a different thing. I wouldn't call that as much of a regional market, but there's just a lot of innovation. Look. I always start the year at the Consumer Electronics Show in Las Vegas, and I think I even had the chance to run across a couple of you guys who are on the call here today. In the lobbies of the Venetian or wherever. And I go to that show always because I find it so inspirational. To see what folks are doing. And what I find so interesting is everybody is talking about AI, and the build-out of the networks of AI. And the capability. But what I find long term maybe even more exciting or at least equally exciting, is what's gonna come from that. What's it gonna mean that we're gonna have this ubiquitous Star Wars as we come to the almost fifty-year anniversary. Will we each have our own C-3PO that'll have great AI capabilities? Who knows? I mean, these kind of things are possible. And I think the places like in automotive with autonomous driving, in industrial where you see so many different things happening on the edge where things get smart, robotics, the like, and mobile devices. You know, those three markets that you mentioned, think each of those stands to have a fundamental step function in their capabilities and their potential because of what's happening today in the build-out of this AI network. And I think long term, that's something that I'm really excited about. And I think back on the other revolutions, the microprocessor, the Internet, the mobile Internet, and the like, And each of those had later on a carry-on benefit to those markets. Automotive, industrial, mobile devices, and the like. And know, I'd be surprised if we don't see something like that in many years to come. Thank you.
Operator: Our next question comes from Steven Fox from Fox Advisors. Please go ahead.
Steven Fox: Hi. Excuse me. Afternoon. I guess I just was curious, big picture, Adam. You've obviously just completed a really strong growth year and generate cash flows. But with the orders now that you're looking at, can you just sort of talk about sort of the management challenges? You mentioned adding more automation. And I'm wondering about, like, higher metals prices, supply chain constraints. How do you look at this in terms of new challenges, especially as your demand is broadening out? Thanks.
Adam Norwitt: Yeah. Well, thanks very much, Steve. Sorry. I didn't save my Star Wars reference, for you. Look. This is not an easy thing to do to grow a company by 38% organically. Let alone those operations within the company who have grown by so much more than that. I mean, you can imagine we've got folks who more than doubled the size of their individual operations. But what sets us apart and what has always been the core of why we are able to do hard things. Is that unique operating culture of Amphenol. The fact that we rely on what is now a 145 or so general managers 16 operating groups. You know? The CommScope, we talked earlier about the quote integration. Well, there's not an integration. The CommScope team is you know, the person who ran it is now a general manager of Amphenol, and he's running his team as he ran it before. So the quote the management challenges and, you know, you list a couple of things, supply chain, the cost of metals, which are extraordinary. Know, there the geopolitics, you know, whatever, shipping. I mean, there's so many things. And I think we don't fixate on one or another of those things. What I fixate on is making sure that if you're a general manager in Amphenol, you've got all the authority to deal with whatever comes your way. And that empowerment and enablement of people to go figure it out. And, yes, if they need some help, we're here. We've got this amazing organization driving collaboration. Communication, across the company. But the end of the day, the buck stops in a 145 desks. And if that means doubling the size of your business figuring out how to set up factories in four different countries, doing things with technology that have never been done before, ramping up automation machines that we've never built before but now can build extraordinarily probably one of the world's best automation companies that exist. They make it happen. They make it happen. And so I think when I think about growing the company as we have, doubling the size of Amphenol really in the last four years, for me, the biggest singular focus is how do we do that while still preserving that entrepreneurial culture. And I'm so proud that we've done it. If you think about a big change in the company four years ago, which I'm not gonna say is the thing that created that doubling, but it certainly enabled it. Was when we moved to three divisions with three division presidents when we expanded the number of operating groups in the company, all with the goal of securing, strengthening, and scaling that unique entrepreneurial culture of Amphenol. And I don't think it's a coincidence. That we took that step four years ago, and now here we are four years hence celebrating doubling the size of Amphenol. And so I do believe that the management challenges which are countless, on every day, thousands of challenges that our people face, they're equipped to deal with them no matter what they are. And that gives me not only a confidence for the future, but enthusiasm for the future. Because whatever comes along, we know for sure the world is not predictable. But what I can predict is that Amphenolians will be there, and we'll make it happen regardless. Thank you.
Operator: Our next question comes from Mark Delaney from Goldman Sachs. Please go ahead.
Mark Delaney: Yes, good afternoon. Thank you very much for taking the question and Happy New Year to all of you as well. I was hoping you could speak a bit more on the margin outlook. The company sustained a record high EBIT margin again in the fourth quarter at 27.5%. There's a number of factors as you go into 2026. You have some big deals, like CommScope. You also alluded to, but metals are up quite a bit, but then the company is growing quite fast. So any color you can share on how to think about incremental margins this year and some of the key puts and takes? Thanks.
Craig Lampo: Yes. Thanks, Mark. Appreciate the question. Yes. I mean, I'll start off by just really quickening quickly addressing metals. I mean, Adam just mentioned kind of a bit about it. But from a margin perspective, I mean, certainly, we're working hard. I mean, metals are certainly something that we have as part of our cost of sales not a significant cost that when you kind of take into account the significant value we create within the facility, but certainly, it certainly has an impact. I mean, it's like any other cost you know, that we work through, and the general managers do a great job of working through kind of offsets to those cost increases, through anything from design of products to things in the factory to working with vendors to a whole host of different things. So I wouldn't say that, at least as of now, we see having any significant impact on kind of our margin outlook as we're moving into '26 and certainly hasn't had any evident impact, certainly with these record, you know, operating margins that we've seen here in the fourth quarter and for the full year. You know, as we move into the first quarter, I mean, the main puts and takes here, I mean, organically, we have a slight sequential decrease in our sales, which is normal seasonality that we typically see know, during the first quarter. And we're converting kind of in the mid-thirties. Even the lower mid-thirties in, you know, in regards to that organic change. And that's typical given our profitability levels and kind of where I would expect. So the company is really doing a great job managing, you know, a seasonal sequential decrease. And, you know, the bigger impact on our margins in the first quarter really is just the impact of CCS. We talked about CCS being in the high teens for the full year, and from an operating margin base to kind of where we expect. I would tell you in the first quarter, because of the seasonality of their sales and their lower sales in the first quarter, that their operating margins are just a bit under kind of that high teens rate. So they're having you know, a bit over a 100 basis point impact on our margins in the first quarter. You know, as we progress throughout the year, we're not guiding in '26, but certainly, we expect normal kind of, you know, operating margins. We expect that kind of 30% you know, kind of targeted conversion margins that we target on incremental sales. getting up to over time. As we grow. And, you know, with CCS, again, we target that up to the company average, and certainly, that will be an adder over time to our operating margin potential. So I'm really, you know, happy with you know, our operating margins that we've achieved in '25 and certainly very optimistic to where we are in '26.
Operator: Thank you. Our next question comes from Asiya Merchant from Citigroup. Please go ahead.
Asiya Merchant: Oh, great. Thank you very much. Just know, given the strong order book momentum and, you know, the AI momentum that you guys also talked about. Just if you could just talk about CapEx and how we should thinking about investments into 2026? As a result of that? Sorry if I missed that earlier.
Craig Lampo: No. No. Thanks for the question. No. We didn't talk about specifically earlier. Yeah. No. From a capital perspective and as we talk about in 2025, we were certainly spending at a bit higher level. But, honestly, with the growth we have seen, we kind of ended the year just a bit over 4%, which, you know, three to 4% we say is our historic range. We ended the year just a bit over that 4%. You know? And I would say as we go into '26 and we continue to see you know, certainly opportunities for growth, and certainly we've had strong orders here we talked about in the fourth quarter. We expect that capital spending to still be certainly at that upper end of that 4% range. And certainly, we have quarters that certainly exceed that 4% for capital spending into the, you know, into '26. So I think that, you know, the fact that we're still spending kind of in our you know, historic range and roughly there is really just a testament to the just the discipline of the organization, the ability to, you know, to spend wisely and really support the growth, the significant growth that we're seeing. Still with, you know, pretty reasonable spending, I think. So and then I think I would expect you know, more of the same in '26. And as we continue to grow, I think that three to 4% range will continue to be that. And I think as we these growth rates are a little higher, I would say that will be probably that towards the upper end of that 4% and, you know, give or take in the quarter.
Operator: Thank you.
Operator: Our next question comes from Joe Spak from UBS. Please go ahead.
Joe Spak: Just a quick one for me. Relating to circling back to CommScope and that business. I know it's still early days in being the official owners, but any sense of how large their order book looks here? Going forward?
Adam Norwitt: Yeah. Thanks very much, Joe. I mean, I think I mentioned earlier that CommScope's also had a nicely positive book-to-bill. Over the recent quarters. And so I think it has a positive order book from that perspective.
Operator: Thank you. Our next question comes from Guy Hardwick. From Barclays. Please go ahead.
Guy Hardwick: Hi. Good afternoon. Just a quick one on the order book. Obviously, it's fantastic result. $8.4 billion. Just how do we square that with the Q1 revenue guidance of $7 billion which obviously, the Q4 order book didn't include CCS, but I assume it assumed Trexxon. Is it the orders, the window that you talked about? And is that 8.4% really kind of a sustainable number over the next few quarters?
Adam Norwitt: Thanks very much, Guy. Mean, look, I think I talked about the fact that we have seen customers extend their order window. Craig mentioned that as well. And in addition, as we continue to ramp up for our customers' new programs, particularly related to AI, there is that kind of confidence that we like to get before making investments. That our customers can give us in a variety of ways, including through orders. I'm not gonna guide to what our orders are going to be in a given quarter. I mean, can imagine our sales folks are out there trying to pursue every order. Possible. But these are really outstanding orders, and they will carry through longer than just here in the first quarter.
Operator: Thank you.
Operator: Our next question comes from Scott Graham from Research Partners. Please go ahead.
Scott Graham: Hey. Good afternoon. Congratulations on the print. My question is about defense. Obviously, the current administration's thinking is that some point we need to push the budget up to $1.5 trillion. Is there any part of your defense sales that are maybe not subject to, you know, whether it's just an upgrade, next-gen technologies, the golden dome. I don't know how much how closely you've looked at some of the you know, some of the articles that have come out on this, but is there anything that you see that, you know, maybe doesn't give you maybe full dibs or most dibs on that? And then on the other side of it, are you concerned at all about the administration's you know, sort of negative rhetoric around with the with NATO? And what that might do to some of your international sales. In defense. Thanks.
Adam Norwitt: Well, thanks very much, Scott. Look. I think as the leader in defense interconnect, I wouldn't tell you that we take that for granted. But do we have dibs on this market? We got dibs on this market. I mean and we have that because of a broad array of technologies. And deep investments that we have made I mean, the one thing that I think sets us apart in particular related here to we'll talk about The US and then we'll talk global. Is that we have continued to double down, number one, on technology innovation, and number two, on scaling our capacity to enable the defense industry to continue to meet the levels that they need to. And so whether that means, you know, today's budget or higher budgets in the future, I can tell you that the breadth of our offering coupled with the depth of our capacity and capability is something that puts us in a really strong position across really all programs. And, you know, you mentioned a few programs. Our folks deep into every program that is involved. I will also add to that. With the acquisition of Trexon, while only, you know, just under $300 million in sales, But it really does expand the prominence of our value-add interconnect capabilities which is an enormous additional opportunity and additional growth potential for the company long term. We've always been a leader in the discrete connector solution well, broad array of them. I mean, you cannot imagine how broad that array is. But now being able to support the value-add products across programs, across applications, land, sea, air, and everything in between. I think Trexxon really rounds out our position and expands the potential what we can do to support this growth. Now relative to your question around NATO and international, our approach as a company has always been not to be a sort of US flag in the front of our factory kind of an operation when we operate around the world. We operate you know, 350 factories across more than 40 countries around the world. And we don't have expats. Period. We operate our company as a local company. So when we're in France, we're a local French company. When we're in The UK, we're a local UK company. In Denmark, in Germany, in Italy, or wherever that may be. And that focus on being a local provider in the defense market. And, you know, our defense position in Europe is very, very strong. We've had really outperformance in Europe here for a number of years. In terms of the strength of our business. You know, I'm never gonna say that you're insulated from anything. But the way that we've structured our company, the culture around our company, how we interact with our customers. Is as a local partner in those places. And we do that in all of our That's just how we run the company. But I will tell you that in a geopolitically interesting world, that we are in today. The way that we've always operated, is a pretty good way to operate in today's world. And I think that will, in many ways, protect us from any politics that could inject themselves into this. Our customers, at the end of the day, want the best product, and they want it at the time that they need it. And if we can focus on continuing to do that and do it locally, I think our defense business has a great future.
Operator: Thank you.
Operator: Our last question comes from Joe Giordano from TD Cowen. Please go ahead.
Joe Giordano: Hey. Thanks for getting me in, guys. Appreciate it. Adam, you've mentioned CES, and I think one of the things coming out of there was an ultimate move at some point towards, like, 800-volt power for data centers. And, you know, there's major implications on what that means for copper and what that means for the ability to do things at different dimension at different diameters. Just curious as your portfolio broadens out and you have these fiber capabilities, what does, like, the know, if you think through the potential positives and negatives for such a dynamic, like, how do you do you think that nets out for you guys?
Adam Norwitt: Yeah. Look. I think what we care about, Joe, is that there's more of everything. And so as folks make changes, they go to different voltages. They go to different speeds. Of transmission. They go to more nodes. They go to more tokens. They go to more density, whatever it is. The ultimate what comes out of that is more complexity. And so for us, you know, whether it's one type or another, I talked earlier about the fact that we today, especially with the CommScope acquisition, have the broadest offering in the industry and the broadest ability to enable our customers as they face these really challenging technological trade-offs. And so I think we're in a really great position to be able to do that and even stronger than we were before pre the CommScope acquisition. And, you know, whether it's different voltages or different speeds or different densities or all the various things that our customers are looking at, I think we're gonna have a great seat at the table working with them to enable these exciting next-generation systems.
Operator: Thank you. Currently have no further questions, so I'll hand it back to Mr. Norwitt for closing remarks.
Adam Norwitt: Well, thank you very much. And again, I'd like to offer my gratitude to everybody here for taking the time with us today. And we look forward to seeing you in ninety days. And I hope you all, at least those of you who are not far from us here in Connecticut, hope you're able to stay warm. Thanks.
Craig Lampo: Thanks, everybody.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your lines.